Operator: Good day, and welcome to the Lakeland Industries’ Fiscal 2025 Third Quarter Financial Results Conference Call. All lines have been placed on a listen-only mode and the floor will be open for your questions and comments following the presentation. During today's call, we may make statements relating to our goals and objectives for future operations, financial and business trends, business prospects and management's expectations for future performance that constitute forward-looking statements under federal securities law. Any such forward-looking statements reflect management expectation based upon currently available information and are not guarantees of future performance and involve certain risks and uncertainties that are more fully described in our SEC filings. Our actual results, performance or achievements may differ materially from those expressed in or implied by such forward-looking statements. We undertake no obligation to update or revise any forward-looking statements to reflect events or developments after the date of this call. On this call, we will also discuss financial measures derived from our financial statements that are not determined in accordance with U.S. GAAP, including adjusted EBITDA, excluding FX, and adjusted EBITDA, excluding FX margin. A reconciliation of each of the non-GAAP measures discussed on this call to the most directly comparable GAAP measure is presented in our earnings release. A press release detailing these results crossed the wire this afternoon and is available in the Investor Relations section of our company's website, ir.lakeland.com. At this time, I would like to introduce your host for this call, Lakeland Industries’ President, Chief Executive Officer and Executive Chairman, Jim Jenkins, and Chief Financial Officer and Secretary, Roger Shannon. Mr. Jenkins, the floor is yours.
Jim Jenkins: Thank you, operator, and good afternoon, everyone. Thank you for joining us today to discuss the results of our fiscal 2025 third quarter ended October 31, 2024. For those of you new to the Lakeland story and our strategy, we are a global manufacturer of personal protective equipment, apparel and accessories with a head-to-toe portfolio of premium fire service brands and mission-critical industrial PPE. Our management team is implementing strategies to accelerate growth and margins within the global fire turnout gear and industrial PPE markets with an acquisition focus on the fragmented fire industry. Near term, our strategy is to leverage a leading market position in fire protection, premium brands and accretive M&A to accelerate profitable growth in the higher margin $2 billion fire protection sector in the largest global markets. Our long-term strategy is to grow both our Fire Services and industrial PPE verticals with our strategically located company-owned capital-light model focusing on operating and manufacturing efficiencies to achieve higher margins with positioning to grow faster than markets served. These strategies and this experienced management team's execution of them are translating into strong financial performance with fiscal year 2025 guidance equating to at least 28% year-over-year top line growth with positioning for mid to high single-digit organic growth ahead. We are well capitalized with a strong balance sheet and expanding free cash flow growth to fund our Fire Services acquisition strategy and initiatives above current guidance. Importantly, our tenured new management team has successfully executed a similar strategy to Lakeland's, a turnaround and efficiency focus with accretive acquisitions and synergies to accelerate growth and create value. Lakeland Fire and Safety's mission-critical product portfolio includes North American and globally certified turnout gear, safety helmets, fire boots, particulate blocking hoods and fire gloves for our Fire Services segment. Our Industrial segment includes a wide range of high-quality safety products, including chemical suits, PPE and disposable coveralls, high-performance FRAR and woven garments and safety boots. This slide shows our global head-to-toe Fire Services portfolio comprised of five premium brands that combine operate and serve our customers on a global scale. Fire products are available globally through strategic distribution partners across 78 countries with a focus in the three largest regional markets for firefighter turnout gear North America, Germany and Australia. Additionally, our Eagle brand has a strong presence in the Middle East as does LHD in Asia. The third quarter was marked by robust sales led by our Head-To-Toe Fire Services segment to a growing geographic customer base with a 61% sequential and 245% year-over-year increase. Our focus on this segment is driven by a growing global market with a highly fragmented competitor set without a dominant player. Fire service business has better visibility in margins as compared to other segments and we believe Lakeland can become a top three competitor through our strong family of brands, acquisition strategy and superior lead times in customer service. Overall, the quarter met our expectations as robust organic and inorganic Fire Services growth was supported by a rebound in U.S. sales and ongoing European, Asian and LATAM American growth. As well, expanding opportunities in LATAM America, new sales leadership in Asia and an expected large Fire Services shipment in Europe contributed to our results. To summarize, we saw strong net sales in the third quarter increasing 45% to $45.8 million led by a 245% increase in Fire Services products. Gross profit increased 39% to $18.6 million due to strong revenue growth and organic margin improvement. We remain confident in our growth strategy and expanding market opportunities in Fire Services and industrial safety products. Our commitment remains unwavering and I'm excited about the remainder of this fiscal year. Looking ahead to fiscal 2025, based on our existing backlog and our outlook for the remainder of the year, we are maintaining guidance for our 2025 fiscal year. Please note that these expectations include the announced Jolly Boots, Pacific Helmets and LHD Group acquisitions. We remain confident in our global sales platforms and ability and earning ability for the last quarter of the year and we are reaffirming expectations for fiscal year 2025 revenue of at least $165 million. Additionally, we reaffirm our expectations for fiscal year 2025 adjusted EBITDA excluding FX to be at least $18 million. With that, I'd like to pass it over to Roger to cover our financial results and provide an outlook for the rest of the year.
Roger Shannon: Thanks, Jim, and hello, everyone. Looking at our third fiscal quarter of 2025, Lakeland delivered sales of $45.8 million compared to $31.7 million for the third quarter last year. Organic revenue comprised 70% of our total sales. 25% of our Q3 revenue came from our recent acquisitions. On a consolidated basis for the third quarter of fiscal year 2025, domestic sales were $15.4 million or 34% of total revenues and international sales were $30.4 million or 66% of total revenues. This compares with domestic sales of $15.1 million or 48% of the total and international sales of $16.6 million or 52% in the third quarter of fiscal 2024. During the third quarter of fiscal 2025, the company saw sales growth in North America, LATAM America, Asia and Europe. Organic revenue increased 7.3% to $34 million for the third quarter of fiscal 2025 compared to $31.7 million for the third quarter of fiscal 2024 showing the results of a focus on efficiency. Gross profit for the third quarter of fiscal 2025 was $18.6 million an increase of $5.2 million or 38.9% compared to $13.4 million for the third quarter of fiscal 2024. Gross profit as a percentage of net sales decreased to 40.6% for the third quarter of fiscal 2025 from 42.2% in the third quarter of fiscal 2024. Gross margin performance declined in the third quarter of fiscal 2025 due to lower margins from LHD and Jolly, particularly driven by the amortization of the step up in basis of acquired inventory and higher inbound freight expense in anticipation of fourth quarter sales. Organic gross margins increased by 200 basis points to 44.2% for the third quarter of fiscal 2025 compared to 42.2% for the third quarter of fiscal 2024. Operating expenses increased by $8 million or 82.5% from $9.7 million for the third quarter of fiscal 2024 to $17.7 million for the third quarter of fiscal 2025. Operating expenses increased due to inorganic growth, acquisition expenses, non-recurring expenses and increased organic SG&A operating expenses primarily professional fees. Operating profit was $800,000 for the third quarter of fiscal 2025 compared to an operating profit of $3.6 million for the third quarter of fiscal 2024 due to the previously mentioned impacts. Operating margins were 1.8% for the third quarter of fiscal 2025 compared to 11.4% for the third quarter of fiscal 2024. Net income was $1 million or $0.01 per diluted earnings per share for the third quarter of fiscal 2025, compared to net income of $2.6 million or $0.34 per diluted share for the third quarter of fiscal 2024. Adjusted EBITDA excluding FX for the third quarter of fiscal year 2025 was $4.7 million an increase of $2 million or 4.9% compared to $4.5 million for the third quarter of fiscal 2024. The increase in adjusted EBITDA excluding FX was driven primarily by margin improvement in our organic sales mix and contributions from Jolly and LHD, partially offset by higher SG&A expenses. On a trailing 12-month basis, Lakeland's TTM revenue as of Q3 of fiscal 2025 is $151.8 million. This is an increase of $29.4 million or 19% versus the Q3 FY’24 TTM revenue total of $122.4 million On a trailing 12-month basis, Lakeland's TTM adjusted EBITDA excluding the impacts of FX as of Q3 of fiscal 2025 was $14.7 million. This is an increase of $500,000 or 3.4% versus Q3 ‘24 GTM adjusted EBITDA excluding FX totaled up $14.2 million. On Slide 10, we provide additional details driving the year-over-year changes in our gross margin percentage and adjusted EBITDA excluding FX. Reviewing our performance, while we saw significant growth overall revenue growth overall, we continue to face some challenges that impacted our results, yet we remain confident in our full-year projections. In the second quarter, both Jolly and Eagle had substantial fire orders delayed to the late third and fourth quarters. These orders began shipping in Q3 and further contributed to our results. Sales results from our recent acquisition LHD, which we acquired on July 1 has resumed and we are accelerating production in anticipation of delivering on multi-year backorders in the fourth quarter. Revenues for LHD, Jolly and Pacific helmets were a combined $11.4 million and we expect those to accelerate as we deliver on open orders and new cross-selling opportunities. Looking at our organic business, we were again very encouraged by the growth in our LATAM American operations with a 20% increase in sales year-over-year. LATAM now represents 11% of Lakeland's total sales and they continue to grow. Our outstanding LATAM team is continually identifying and capitalizing on new market opportunities and we expect further growth in that region. We're working to expand our Fire Services offering in LATAM and we expect to introduce new industrial products from the Licton portfolio into that region going forward. We've also recently put our Mexico sales operations under our LATAM American management team and we were optimistic that they can replicate their success in that country. Even so, our Q3 sales in Mexico were up 25% year-over-year. We also saw double-digit sales growth year-over-year in Asia. We're very excited about the new sales leadership that we've put in place in Asia and we are encouraged by the growth we're seeing in both China and new Asian markets outside of China. Our European revenue, including Eagle, Jolly and our recently acquired LHD business grew by $11.2 million or 350% to $14.4 million. We see very good sales opportunities in Europe and are committed to its growth trajectory. Following the slowdown in the second quarter due to our line drive transition, we were pleased to see our U.S. Revenue rebound to $15.4 million driven by the continued growth in our Lakeland Fire Service Business, while our year-over-year U.S. revenue growth was $3 million or 2%, our quarter over quarter U.S. revenue growth was $3 million or 25%. Regarding product mix for the third quarter, our Fire Services business grew $13.7 million or 245% versus the same period last year, driven by our recent LHD acquisition and organic gains in the U.S. and from Eagle as we start to see gains from our head-to-toe strategy. Our industrial product lines grew $3 million or 1.1% over the same period last year led by our chemical products and high-performance wear, which grew 9% and 8% respectively, while high-vis decreased 33% year-over-year. Disposables represented 27% of the revenue for the quarter, while fire grew to 42% and chemical was 11%. The remainder of our industrial products including FRAR High Performance and high-vis accounted for 19% of sales. Now turning to the balance sheet. Lakeland ended the quarter with cash and cash equivalents of approximately $15.8 million and long-term debt was $31.1 million. This compares to $24.9 million in cash and $29.5 million in long-term debt as of July 31, 2024. The decrease in cash was primarily due to the build of inventory to deliver on the LHD multi-year backlog and Q4 sales orders at Jolly as well as ramping industrial orders and $3.4 million of debt repayment during the year. The net increase in our long-term debt was mainly related to the acquisition of LHD Group in July, partially offset by the previously mentioned repayments on our credit facility. Net cash used in operating activities was $12.5 million in the nine months ended October 31, 2024, compared to net cash provided of $3.7 million in the nine months ended October 31, 2023. The increase was driven by increases in working capital of $12.5 million primarily due to a build in inventory in preparation for forecasted increase in sales in the fourth fiscal quarter of 2025 and the first quarter of fiscal 2026. Capital expenditures were $1.5 million for the nine months ended October 31, 2024, primarily for manufacturing equipment. At the end of Q3, inventory was $72.7 million up from $67.9 million at the end of Q2 FY ‘25, primarily due to LHD, Dolly, Eagle and organic sales expected to ship in the fourth fiscal quarter of 2025 and the first quarter of fiscal 2026. Year-over-year, we saw a reduction in our organic inventory of $1.7 million versus the quarter ended October 31, 2023. With that overview, I would like to turn the call back over to Jim before we begin taking questions.
Jim Jenkins: Thank you, Roger. I'll conclude by saying that our visibility of high-single-digit organic growth communicated on our last call has come to fruition in third quarter of fiscal 2025. This was demonstrated by strong net sales growth driven by a significant 61% sequential and 245% year-over-year increase in our Fire Services line and rebounding global growth across Europe, Asia and LATAM America. It is now clear based on these results and our reaffirmed outlook that there are three main themes progressing very well with our near-term and long-term strategy. First, we believe our time to market in Fire Services is faster than anyone else with respect to our competition and this is driving strength in our business. Second, we are well positioned in the 3 largest global fire markets. And third, our head-to-toe fire offering coupled with the highly competitive delivery speed to customers is a disruptive differentiator for our global sales team and because of this, we believe we are positioned to take market share. As Roger previously mentioned, mostly all of our financial metrics are trending in the right direction from our legacy business and we believe our recent acquired entities are also turning the corner as we begin to implement cross-selling opportunities, negotiate favorable terms with vendors and consolidate operations to position the business towards cash generation. We are now seeing those strategies bear fruit and the visibility in subsequent quarters is bright. The working capital deployed in the third quarter is primarily due to inventory buildup and preparation for forecasted increases in sales in the fourth quarter of the year and the first quarter of fiscal 2026. It couldn't be a better time to be part of the Lakeland story as the foundation-building realigned management and global sales teams are now positioned to drive growth, market share penetration, cash generation and most importantly shareholder value. We look forward to seeing more to sharing more on our developing story next week at the ROTH 13th Annual Deer Valley Institutional Conference and Benchmark Company 13th Annual Discovery one-on-one Investor Conference. With that, we will now open the call for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Gerry Sweeney with ROTH Capital. Please proceed with your question.
Gerry Sweeney: Good afternoon, Jim and Roger. Thanks for taking my call.
Jim Jenkins: Hey, Gerry.
Gerry Sweeney: So first question, it's probably going to a little bit longer winded in-depth, but I think you'll understand where we're going with this. So we had the U.S. rebounding, Jolly and Eagle are starting to get the legs underneath them. But then we also have your guidance, $165 million of revenue and $18,000,000 of EBITDA. Obviously, I think there's confidence going into the fourth quarter everything's going in the right direction. But it appears that either your revenue guidance of $165 million will have to be far exceeded or margins will have to jump up significantly in the fourth quarter to get that $18 million of EBITDA. And I know there's a step up in basis of inventory, etcetera. So could you give us a little bit more maybe granularity as to how we achieve this guidance with all these operations and everything accelerating into year?
Roger Shannon: Sure, Gerry. This is Roger. You'll recall in Q2, we talked about the negative impact to our gross margins and to EBITDA of this profit in the inventory due to the inventory builds that we have coming particularly out of Vietnam and China. And our expectation is over the second half of the year as the inventory is reduced, that the profit in the inventory would be released. In Q3, we did turn inventory on the shipments and the recovery in revenue. But at the same time, our plants continue to operate very efficiently and produce really kind of that high levels of capacity for these orders that we still have visibility to. So because of that, there actually was no release of profit in any inventory for the third quarter. It didn't hurt us like it did last quarter, but there was no benefit from it either because what was moved through sales of this inventory in Q3 was offset almost directly by the build of inventory. Given that, what we do see in Q4 as we have visibility to these orders that are shipping, we are expecting a significant release of that profit in the inventory in Q4, which will in effect to what you just said increase that margin. So it would be the revenue that we're expecting still some very large orders in Q4 including this multi-year backlog at LHD, because what we see from production from our facilities, we expect to release of a significant part of that profit in the inventory, which will be accretive to EBITDA.
Gerry Sweeney: Got it. And if this is fair to say, all these inventory adjustments and releases, this is pure accounting because of the acquisitions you made, correct? So what I'm really trying to say is on an apples-to-apples basis, by the time you get all this released, we should see a cleaner, clearer margin. It's just being reallocated to different quarters. Is that a fair way?
Jim Jenkins: Yeah. I mean, Gerry, there's as you know, when you do these acquisitions, there's a lot of financial white noise that's sort of there for a while. And then once you clear yourself through that I had this experience at Transcat. You sort of clear yourself through some of this stuff and then there's a level of normalcy that returns.
Gerry Sweeney: Got it. But that's what I assumed. I just wanted to sort of shine a light on it. So that's what I expected to hear. So I was hoping to hear and expect it. Separately Line Drive, obviously 2Q, there was my words, not your words, but maybe a little bit of friction in transitioning over the Line Drive agreement. How is that playing out on a before basis?
Jim Jenkins: Very well. Pipeline continues to grow. Performance quarter over quarter has improved. Our regional sales people are meeting with Line Drives regional sales people weekly. There's a discipline that our Global VP of Industrial Sales has brought to that relationship. Our business development leader has also been pushing quite aggressively and I've been very pleased with what he's been doing as well. So I couldn't -- we were a little disappointed in that first quarter kickoff with them, but we're starting to really starting to see some momentum now.
Gerry Sweeney: Got it. That's fair. And then one more question and I'll jump in line. Obviously, Fire turned out to be a big opportunity, U.S, I believe, biggest market. I know you're looking at getting bigger into in the U.S. Any thoughts on that or stay tuned?
Jim Jenkins: Yeah, we have I think we've said this before, we're actively pursuing opportunities in the United States. We continue to run that out, Gerry.
Gerry Sweeney: Got it. Okay, that's fair. All right. I'll jump back in line. Thanks, guys.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Matthew Galinko with Maxim. Please proceed with your question.
Matthew Galinko: Hey, thanks for taking my questions. Maybe firstly, can you just give us a little bit more color around the multi-year backlog, from the acquired game? Is it something that you think you could flush through predominantly this year? Is it something that you're working through well into next year? And I know we talked about this last quarter, but how much of it is still addressable to you?
Roger Shannon: Yeah, Matt, it's Roger. Thanks for the question. So, we were pleased with the, I guess kind of the beginning of shipments, the start of shipments from LHD. LHD Australia did particularly well as did Hong Kong. If you recall from our previous conversations that LHD Germany was essentially doing nothing because they were in some financial distress. They were cash in advance or worse with vendors and this multi-year, as you mentioned multi-year backlog had developed. So, in the third quarter, as you saw with our cash balances and our working capital for Germany, there was a very fast ramp and a significant ramp of inventory build and production orders that are going on as we speak. We do still expect to ship those a large percentage in the fourth quarter. Right now, we're thinking that we'll be shipping 80% to 90% of that multi-year backlog in Q4. And again, that gives us a high level of confidence in our Q4 revenue number. And as importantly, the inventory will again start to come back down and as we make that sale and collect on those receivables that will again turn back into cash. So the team is working very hard on it with legacy LHD, third-party manufacturers, as well as new parties that we've brought on from our relationships and it was a matter of just really basically having to jump-start them and bring them kind of back to life and we also didn't mention this in the script or the comments, but in the quarter, we made a very significant hire at LHD. I think there were some posts about it, but we brought an individual back, Klaus Hauercap to be the General Manager. He had worked for the company about 10 years ago. He'd left to go to the largest competitor in Germany and had been responsible for a very significant growth in their business. He saw Lakeland's acquisition and we were able to work with him on a return and he started November 1st taking back over there. So, again, we expect 80% to 90% of that backlog to ship before the end of our fiscal year.
Matthew Galinko: Got it. Thank you. And my follow-up is, I guess on the opportunity around services and bringing that into more of your geographic reach, is that something that you can see sort of being comprehensive with, in the next fiscal year or is it going to take a little bit longer to work your way through those opportunities?
Jim Jenkins: So Matt, I think it -- so we've already begun to look at I think I said this on the last call sort of the greenfielding or purchasing folks in that that are in that space. I know that in LATAM, for example, our LATAM leader is putting together a business case to run out a decontamination services business in that market. She's been interacting actually had a visit to Australia to meet with the Australian LHD people. So I think we will start seeing incremental gains in the service area for us. I can't really tell you at this point, how much or how significant that's going to be in fiscal ‘26, but I can tell you that it's rapidly becoming a priority because to be a leader in this space because it is the future of this business, making sure that folks that are running into harm's way both in just in the fire environment, but also are getting those contaminants on their protective gear need to be protected. And there's I can tell you in Europe and in Germany in particular, what I'm learning is that doing that correctly is important because there's actually criminal liability associated with brigade commanders in Germany who don't do this correctly, don't have it done correctly. So, it's a growth area for us and we're trying to seize on those opportunities. I just can't give you a number or it would be a pure guesstimate at this point, but I know that that is something we are it's an imperative to us for next year to start running out.
Matthew Galinko: Perfect. Thank you.
Operator: Thank you. We have reached the end of the question and answer session. Now I'll turn the call back over to Mr. Jenkins for closing remarks.
Jim Jenkins: Thank you, operator. Thank you all for joining us on today's call. I would also like to thank our customers and distributor partners worldwide for trusting us with your lives and safety. Our customers are heroes and we never take that trust for granted. I also want to thank our Lakeland team members across the company for their continued commitment and enthusiasm as we further delivered on our strategic initiatives this quarter. Lakeland continued to experience significant growth and change during this quarter and I appreciate the hard work from our dedicated team as we continue to execute our growth strategies. If we were unable to answer any of your questions today, please reach out to our IR firm MZ Group who would be more than happy to assist.
Operator: And this concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.